Operator: Welcome to the CMS Energy 2015 First Quarter Results and Outlook Call. [Operator Instructions]. At this time I would like to turn the call over to Mr. D.V. Rao, Vice President and Treasurer, Financial Planning and Investor Relations.
D.V. Rao: Good morning and thank you for joining us today. With me are John Russell, President and Chief Executive Officer and Tom Webb, Executive Vice President and Chief Financial Officer. Our earnings news release issued earlier today and the presentation used in this webcast are available on our website. This presentation contains forward-looking statements which are subject to risks and uncertainties. All forward-looking statements should be considered in the context of the risks and other factors detailed in our SEC filings. These factors could cause CMS Energy's and Consumers' results to differ materially. This presentation also includes non-GAAP. A reconciliation of each of these measures to the most directly comparable GAAP measures is included in the appendix, as well as posted in the Investor section of our website. Now let me turn the call over to John.
John Russell: Thanks, DV. Good morning, everyone. Thanks for joining us on our first quarter earnings call. I'll begin the presentation with an overview of the quarter, provide an update on energy legislation and turn the call over to Tom to discuss the results and outlook. Then as usual close with Q&A. First quarter adjusted earnings per share were $0.73, down $0.02 compared to last year but up $0.04 or 7% on a weather-adjusted basis. In January our Board approved a 7.4% dividend increase, the ninth consecutive increase in as many years. The new annual dividend of $1.16 per share results in a competitive payout ratio of 62%. Today we're reaffirming our full-year adjusted EPS guidance of $1.86 to $1.89. This reflects our plan to grow 5% to 7% off last year's actual results. Our improved safety performance that began in the second half of last year continued through the first quarter. Compared to last year's first quarter, safety improved 58%. Our electric and gas systems continue to perform well. On the gas side we had record sales in February. Capital investments in our electric system have resulted in improved reliability, the best in 10 years. Customer satisfaction has increased for both electric and gas business customers. And I'll talk more about these results in just a few minutes. We also have a tentative five-year agreement with our union, pending ratification. The mutually beneficial contract will support a high level of customer service and increased investment in the gas business. Here you can get a sense of how we're investing heavily in the gas business. We already have one of the largest natural gas systems in the country and we plan to grow it to better serve our customers. Our 10-year plan calls for almost $6 billion of capital investment. We plan on replacing 800 miles of main, installing nine new compressors and connecting 100,000 new customers. We have another $1 billion of opportunity to plan to grow this plan with more replacements conversions and supplying natural gas generators. We're able to continue our investment in the gas business as falling natural gas prices create headroom and offset base rate increases. Over the last six years our customer's average bill has been cut by a third, falling from $3 to $2 a day, supported by natural gas fuel costs declining by 50%. We've been able to do this by cycling our gas storage fields and filling them with low-price gas. As you look over the next five years we see customers' prices staying relatively flat as new investment is offset by cost reductions and low natural gas prices. We're in a good position to invest in the gas business, maintain a high level of system performance and deliver increased reliability with lower prices to our customers. We're committed to providing our customers with exceptional value. Our dedication to improving customer satisfaction has moved us from fourth quartile to second quartile for electric and gas business customers and to first quartile for residential customers, a significant improvement over the last five years. In 2016 we anticipate having all four segments in the first quartile, as we continue to focus on customer satisfaction by delivering the quality of service our customers expect. Customer satisfaction is an important element of our breakthrough thinking that leads to predictable and sustainable financial results. As you know, Michigan is currently in the process of updating its energy law. The Governor is focused on adaptability over the long term as Michigan moves away from coal and more towards natural gas generation and renewable energy sources. His vision provides a constructive framework. The Michigan Senate and House are currently developing and debating legislation. The bills we have seen range from full regulation to an increase in the cap. The Governor stated that he would like to see the cap remain unchanged but would require five years of firm forward capacity. He calls this fair choice. We look forward to working with the Governor and legislators on the energy policy and meeting Michigan's long term energy needs. The Governor has established four pillars to make Michigan's energy more adaptable, affordable, reliable and environmentally sound. We support his vision and see many opportunities to achieve the state's energy goals. Our current energy efficiency program is working well and saving customers money. A continuation of this program with revenue recovery and the existing incentives would make the 15% elimination of energy waste attainable. We fully support the Integrated resource plan process that would allow the regulated utilities to determine the most economic capacity plan. By providing our customers with enablers like our smart Energy program they will have more control over their energy usage and save money. Like the Governor we want to see the elimination of subsidies to a fair choice policy or full regulation without mandates and begin to address the looming capacity shortfalls facing the state. MISO continues to predict a capacity shortfall in zone seven, Michigan's Lower Peninsula. We're nearing this reality as coal plants are shut down and excess capacity is eliminated next year. In order to begin addressing this we need a strong and supportive new energy law. The law will help the state meet its goals by eliminating waste, adding renewables and allowing the state to determine its energy future. Now I'll turn the call over to Tom to review the quarter.
Tom Webb: Thanks, John. And thanks to each of you for joining our call today. As always, we deeply appreciate your interest in our company and for spending time with us on the call today. For the first quarter, our earnings were $0.73 a share on both a reported and an adjusted basis. This is $0.02 below last year and $0.04 or 7% above last year on a weather-normalized basis. All business units were well ahead of their plans with company results $0.21 better than budget. As you can see here, the first quarter weather-normalized earnings up 7% and another cold winter O&M reinvestment is underway. Even with huge added costs of about $45 million or $0.08 a share associated with longer lives in the new mortality tables and lower discount rates, our continued cost reductions offset this and result in lower costs, down 3% from last year. Our earnings per share forecast is already $0.17 ahead of plan. Please recall last year when we added substantial reliability work and still hit the top end of our 5% to 7% guidance. This year weather has helped $0.14 and our cost reductions, coupled with other improvements, are $0.04 ahead of plan. Reinvestment underway includes increasing utility forestry work and accelerating a planned major outage at DIG from 2016 to 2015. This has the double benefit of pulling ahead the outage cost into 2015 when we have ample room to absorb it and freeing up capacity in what will be a very tight year in 2016. In addition, we plan to increase DIG's capacity by 38 megawatts. This will add further to profitability next year. While we're on the subject of our business at the Dearborn industrial generation facility, here's an update on both capacity and energy. The opportunity to increase capacity-related profits by $20 million to $40 million already has been enhanced. Just recently we added a new nine-year capacity contract at a price that nearly doubled what we had assumed in our forecast. In addition, we're adding a new long term seven-year energy contract for one of our two combined cycle units that could improve profits by more than $5 million a year. This is in progress. The good news here is that we're beginning to realize benefits from the layering in strategy for capacity, as well as energy, enhancing the upside potential at DIG by as much as $25 million to $50 million a year with long term contracts. Patience is paying off. The outlook for our utility service territory in Michigan continues to be healthy. Whether it's building permits, GDP growth, population growth or unemployment, we continue to outperform Michigan overall as well as the U.S. average. First quarter sales were up nicely, continuing to support our outlook for full-year sales increases of 3% for industrial customers and 1% overall. First quarter industrial sales are below the full-year forecast but that's as expected, reflecting a ramp-up at several customers during the year. In fact, the full-year outlook is about 3% but we prefer to keep the forecast at a conservative level. Please remember that our earnings growth is not predicated on sales growth or cost reductions. Upsides from these are intended for our customers. Even without any upside our capital investment over the next 10 years will be 45% greater than the last 10 years. The opportunity to increase that investment by as much as $5 billion to over $20 billion continues to be practical, particularly when many of the investment opportunities can be included without increasing customer bills. There is a lot of work ahead but none of it represents big bets that put the company at risk. Capital spending projects are progressing well. For example, we're 40% through our Smart Energy meter rollout. And this has been a terrific project to re-introduce ourselves with each and every one of our customers. Our environmental spending, primarily to address clean air standards, is 85% complete. We still have work ahead replacing gas mains and distribution systems and we're 15% along the way. We've upgraded compressor stations and we're halfway through the work to replace compressors to maximize efficiency at our gas storage fields. As an LDC, remember, we have the largest storage fields in the nation. And our project to upgrade our pump storage facility at Ludington, the fourth largest in the world, is nearly at the halfway spending mark. This project will provide a 16% improvement to capacity. A lot of our capital investment enables us to reduce O&M cost and these are down 10% since 2006. And we will reduce these costs another 7% by 2019. As we switch from coal plants, which require a substantial number of people to run, to gas and wind farms, which require about 10% of the work force needed to run coal, we'll be reducing our O&M costs by over $30 million. By continuing our program to harden our pole tops we will reduce future storm-related damage and we'll capitalize rather than expense that work. This results in lower O&M costs, spreading costs to our customers over a longer period of time. In addition, natural attrition, a variety of quality-enhancing productivity actions and Smart Energy meters will help us reduce our costs substantially. And that's down 3% last year and 3% more this year. Here is our sensitivity chart that we provide each quarter to assist you with assessing our prospects. We've added capital investment and O&M cost metrics to permit you to assess just how much these opportunities might be worth. And here's our report card for 2015. Obviously with the Arctic blast we're well ahead on earnings. We will, however, work to put this surplus to good use with even more reliability improvements for our utility customers and accelerated outages to enhance our outlook for 2016. You'll note that we've graded ourselves with green checks on all metrics and a double check on earnings per share growth. While we're not increasing our guidance beyond 5% to 7%, I suspect that our performance so far this year, coupled with our track record over the last decade, probably gives you a pretty good sense that we feel pretty comfortable. Continuing our mindset that focuses on customers and investors permits us to perform well. We hope you agree. We're now in our 13th year of premium earnings and dividend growth and we plan to continue this performance for some time. Thank you very much for your interest and your time today. We look forward to taking your questions, so, operator, would you please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Julien Dumoulin-Smith with UBS. Your line is open.
Julien Dumoulin-Smith: So I wanted to first dig into the Michigan side of the equation. In terms of the fair choice on the cap, what percent of your customers as you understand the current proposal, would come back to you versus opt to choose the five-year capacity compliance mechanisms?
John Russell: Well basically where we're at now, Julien on that, that's just a proposal that's out there. The first choice or the fair choice aspect what the Governor is looking for is that he doesn't want subsidies from our existing utility customers to pay for the capacity that's used as a backup for the retail open access customers. So, a little too soon to tell on that, but basically if it works the way he's thinking, what would happen is they would have to show the firm capacity five years out so that we would not be responsible for supplying that capacity. And based on that, it depends what the market is going to be. I think the numbers we have today -- we've got about 300 customers or about 0.2% of our customers that are on retail open access. It's hard for me to access what their contracts are like or what the market's like, but as you saw in some of the capacity auction results from the MISO market, some of the deregulated states are a little bit higher than the regulated states. So, it would be up to them to determine the best deal that they have.
Tom Webb: And let me just add one thought, Julien and I'm not sure your question was going this way, but what we've experienced in the past is when the market changes which this could be a part of we saw about 80% to 90% of that load come back over a period of time say a year or two years this could be a little different depending on the duration of their contracts as John just said but I think the economics will push them our way along with the potential policy change.
Julien Dumoulin-Smith: Excellent and then looking at the DIG site of the equation in terms of adding the 38 megawatt what's the timing and cost of that by chance?
Tom Webb: Will remember we just described that pull ahead. In our presentation today where we were telling you that we're taking an outage that we plan to take in 2016 actually in the fall of 2015 so will have that in place this year that 38 megawatts in that cost of about $8 million to $9 million is part of that pull ahead which includes that upgrade and you won't see that repeated of course in 2016. So the money is being invested this year about 8 million to 9 million for the outage and the upgrade altogether with the benefit accruing to us next year.
Julien Dumoulin-Smith: And then the new contract on the nine-year capacity deal that’s annualized at that same rate every year?
Tom Webb: That's correct.
Julien Dumoulin-Smith: What kind of customer is it just by chance?
Tom Webb: Well because as you noticed I mentioned we’re in the progress of doing that I don't want to mention the customer's name, I don't think that would be appropriate. You wouldn't be surprised about who that customer is and the duration that we're looking at here on this contract will probably be about seven years.
Julien Dumoulin-Smith: It's not the same counterparty to the nine-year capacity as the seven-year.
Tom Webb: So you're working your way into a name, but the answer is no and that's probably as far as I should go.
Operator: Our next question comes from Dan Eggers with Credit Suisse. Your line is open.
Dan Eggers: John just going back to the legislation conversation, I guess which bills are most consistent with what the governor has on offer right now and how organized the legislature is to get this done in a timely fashion.
John Russell: I'll start with the last first the timing of this, I mean the Governor has targeted it for June. I think it's possible but it's pretty aggressive. And I think that's going to be dependent primarily on a non-related topic which is a ballot proposal to improve the roads in Michigan. If that doesn't get past I think the legislators are going to be more focused on the budget than energy for maybe the summer. So expected to be done by year-end but it may not be done by the middle of the year. And as far as where the bills are they are pretty much across the Board. The house is full regulation, the bill has been set and the house is full regulation. The Senate has two bills one is to increase the cap and one is to ensure that the customers who are on retail open access have a one-time shot at going to the market and they can't come back. So when you look at how that is and what I mentioned earlier about where the Governor is it looks like the top end of this or the worst-case scenario would be 10% with a firm capacity position that they have to disclose to a regulator going forward. And maybe the best case for us would be full regulation but I don't think it would happen all at once and maybe Julian's question kind of related to that is that I think we would see this come back, Tom, mentioned we saw a big jump the last time we went through this but it's going to take time. I don't think it's going to be all at once because I believe and I don't have the data for this but the contracts that the third parties enter into with our customers for retail open access probably have a duration of a year or two. So I don't think any legislation would stop those contracts from being in effect.
Dan Eggers: John, beyond the choice issues where do you think things settle out on renewables and is there going to be a window where the increase renewable standard and you guys have a bigger stake of that or how you think that parts going to play into the legislation as well?
John Russell: Yes, I think that will end up as a part of an Integrated Resource Plan. I think that's where the kind of the tone is going today rather than mandate a certain percent I think where they would go is more of putting it to an IRP putting it towards a more Integrated Resource Plan that maybe long in 10 year [ph] with the ability to seek approval on a multi-year basis for changes that may occur. And to be more specific as you seen gas prices drop substantially over the past five years if we did in Integrated Resource Plan 10 years ago gas probably wouldn't be a preferred option. However with gas prices the way they are today they are a preferred option, so you want that -- as the Governor calls it adaptability with changing technologies, changing commodity prices to go back in in the interim of that long term plan to be able to adjust the plan, get an agreement with the regulators and move forward with that type of generation. And Dan, for your point it's also going to include renewable energy, energy optimization and all that. The Integrated Resource Plan will cover the spectrum not just the supply aspect but how we get the supply, what fuel source and how we do energy optimization. And this thing that I like about it is that if we do that it also show the most economic plan, we will put forth the most economic plan for our customers.
Operator: Our next question comes from Greg Gordon with Evercore ISI. Your line is open.
Greg Gordon: I just wanted to circle back to the commentary on capacity, so I'm looking at page 14. So you're saying you were at less than $0.50 capacity that your forecast is that you're currently expecting to earn around $2 in capacity? Or did you say that you’ve come in based on this new capacity contract ahead of the forecast on this page.
Tom Webb: That's right. So when you're looking at the bar that has below it $2.00 that's our old forecast and then on the little box on the right side you'll see near-term. We're looking at numbers around $4.50 and that's our reference to doubling for that similar period. And over the long term we're looking at if you average it over the whole period around $3.30 so that gives you some benchmarks. To your specific question we've got $2.00 in our numbers but you can see we’re about to revise those and go up.
Greg Gordon: Okay and that time period -- over what forecast period do we average go from $2.00 to $4.50 and average $3.30 from [indiscernible]?
Tom Webb: $4.50 would be near-term, so you're going to look at the next couple of years. In the long term is over a nine-year outlook.
Operator: Our next question comes from Paul Ridzon with KeyBanc. Your line is open.
Paul Ridzon: The $8 million that you're spending at DIG this year that's not -- it's an unregulated asset. So is that capitalized or is that going to be O&M?
Tom Webb: Just think of that as a regular non-utility business. So the part that’s capitalized is capitalized and the part that’s expense is expense in the project. Just try not to think utility for a minute and it will look very normal that way. The bulk of it candidly is going to be expensed, that goes in for this year but as you can see we have plenty of room to put it in.
Paul Ridzon: So the net impact on '16 is an $18 million swing because you're avoiding that capital expense next year and you're picking up the $10 million?
Tom Webb: You can do that math that way but I would caution you not to because remember we're taking the good news this year that's happening unrelated to it to fit it in. So your base didn't change. And then next year yes we had planned to spend about $10 million which we won't need to. But if we've got some head room next year what do you think we will do?
Paul Ridzon: Host a big party for analyst.
John Russell: What's your second choice Paul?
Tom Webb: No, we will find a way as you've grown accustomed to see us get in that growth of earnings of 5% to 7% no matter what. If it's easy or hard and I may as well take the question on before it comes. We've got so much work to do on the reliability side in the utility that I would just tell you there will be a time when we won't and maybe the 5% to 7% will drift up a little bit. Again I would get excited about it because we've got plenty of work to do this year and we will have plenty of work to do next year so it's not in that timeframe that you would likely see us change from our guidance of 5% to 7%.
Paul Ridzon: Assuming the contract your currently negotiating at DIG comes to fruition how much -- what's the free capacity look like over the next several years, that's currently unhedged.
Tom Webb: Yes. So we'll be for the '17 to '18 planning year a little over 500 megawatts available. And then a little bit better than that a little higher than that in other words as you go through time. So that's all upside opportunity.
Paul Ridzon: And this is with the new capacity this will be 750 megawatts total?
John Russell: Well no we’re actually making two upgrades and the number you will get used to seeing will be 770 megawatts. So we had already planned and we were just been quiet about it putting in [indiscernible] and increasing the capacity at DIG this year. This new increase which is news because we just authorized it inside of our own company will add that extra 38 megawatts on top of that net-net will go from you've seen 710 in the past will go to 770.
Operator: Our next question comes from Andrew Weisel with Macquarie Capital. Your line is open.
Andrew Weisel: Just one more on the Michigan law, the energy efficiency side of things I think you said that you would support it with the continuation of revenue recovery in incentives. How likely is that from some of the proposals that you're hearing around the legislature, is it expected that that will continue as is or are people talking about potentially changing the element of it?
John Russell: What we're hearing at least right now is I will call revenue certainty the decoupling seems to be optional for the utilities to choose which is fine with us if we choose to do it or don't. The incentives they haven't really dug into the incentives yet, but the argument I think is pretty strong that we make electricity, we deliver electricity we sell electricity we should be incented to help our customers understand why we're not trying to do that with energy optimization. So I have a feeling the incentives that they have worked well for us and I expect those to continue but that maybe in a regulatory format rather than a legislative format.
Andrew Weisel: Then on doing some more generally the recent MISO capacity auction obviously cleared low but that's obviously in the near term where you don't see that shortfall yet. Have you seen, you’ve talked a quite a bit about your own contracts but maybe more broadly in the bilateral market have you seen any change in the bidding or the asking since that auction?
Tom Webb: I'll tell you what I think will take this into two pieces. Let me just describe a little bit about what we see in the bilateral market. And from a capacity standpoint I would tell you this indication we gave you of $4.50 near-term is reasonably indicative of where we're. Obviously folks out there are watching very carefully what happens in the energy law. The ability to put more capacity in place, the accountability for doing that, those will all be positive things but in -- will the policy is being worked out people are nervous and trying to figure out are we going to fill that big void that begins next spring when we take a third of our coal plants out and have to somehow fell in behind that. So there's a lot of speculation in the markets about where we're go. The best it can give you on bilateral is around 450 for the spring 2016 to spring 2017 planning year. Now you asked a different question about the near term capacity market in MISO and maybe John can add to that.
John Russell: One of the things that we found is Andrew, we found pretty revealing as we have talked, we expect the capacity prices to rise in Zone 7 next year when we shut down at least our company shuts down a third of its coal capacity. This year I think the news out of the capacity auction was that capacity prices were low as expected except in Zone 4 for which was the one deregulated state and that was Illinois. And the capacity prices there are 50 times higher than in the generally regulated states of the rest of MISO. So that's an interesting time to see this happen when we haven't seen a lot of the capacity come out of the market. And you can rest assured we’re talking to a lot of people here in Michigan about the risks of the volatility of the deregulated market.
Andrew Weisel: Then one last one, you made it very, very clear that the upside to DIG should not necessarily drive faster than 7% earnings growth and how the sales growth and cost cutting is not what's driving your plan here. Maybe a different way to ask a question is when you look out in the near or medium-term what's your expectation on customer bills? You talked about the gas side but maybe more on the electric side if you do reinvest a lot of the upside from these various drivers into this system without charging customers for it, is it possible that we will see customer bills on the electric side falling over the next several years?
John Russell: Let me take that one since you don't want to hear Tom anymore talk about -- how we're going to draw 5% to 7%. One of the things that I think is very important to understand about our capital investment plan is that we invest capital for a couple reasons and if we don't achieve those reasons we don't invest the capital. One we need to make sure that it provides value to our customers. Two, it ensures that we reduce fuel costs. Three, it reduces O&M cost and fourth if there's an environmental commitment that we've made to improve the environment whether it's driven through EPA state laws or our own initiatives we do that too. So the customers by us investing capital get a better environment a better bill and better reliability and that's really what we strive for. In the five-year plan that we have today with the capital investment we have we can still keep customer rates below the rate of inflation the base rate increase below the rate of inflation and that's on the electric side. On the gas side that also holds true but as I mentioned earlier with a low grass prices customers are paying bills the same rate that they did in 2001. So we have a lot of headroom, fuel is in our favor in most cases here and where it isn't in our favor because we're making investments on the electric side we're seeing the results and reliability the results in customer satisfaction and the results which I think are unique for us compared to others is the reduction in O&M cost. And we see that happening. Tom showed you the one chart. We're down last eight years 10%. In the next five years we expect to be down 7%. And that's on an absolute basis that includes inflation, it includes the legacy cost that we have. So we feel very comfortable that we invest the right amount of capital to do the things that I just mentioned and keeping the bills affordable.
Operator: [Operator Instructions]. Our next question comes Brian Russo with Ladenburg Thalmann. Your line is open.
Brian Russo: Just a follow-up on the last question and commentary, you mentioned the gas retail rates are expected to be flat over the next few years due to lower gas prices and cost controls but yet you're go is to keep rates at or below the rate of inflation so is there upside investment opportunity in that segment that you guys can capture.
John Russell: Yes. Definitely. When thinking about that Brian it's the cost the base rate our rate of inflation keep it at the rate of inflation but on one of the slides I showed you can see the increase in investment in the capital in the gas business because of the dramatic decline of the natural class fuel cost, we’re down about 50% in the fuel cost which provided headroom for us or does provide headroom for us to be able to make additional capital investments while still having the customers overall bill decline.
Brian Russo: Does that imply upside to your current capital budget forecast?
John Russell: There's opportunity there, I think I stated we've got $1 billion on top of that if we choose to but right now that seems like the right level. The one thing that we're a little pushed against is we hired about 625 people in the gas business over the past three years and we're growing those people I think it's going to be a competitive advantage for us to have people that can install pipe, weld pipe going forward in the future. So as those people develop we may be able to put a little more capital into it but one thing about the gas business is that it's not just plug-and-play it takes a lot of employees to get that done and what you'll find in some areas contractors are getting a little short now because of the influx in capital. So we made a decision a few years ago to move ahead with our own workforce, worked with our union and we added 625 people to do that which will position us well in the future and so if there was going to increase, think of it incrementally.
Brian Russo: Okay. Understood. And then what customer classes are driving for 3% industrial sales growth forecast?
Tom Webb: Across the board is the best way to think about what's happening there. And when we're thinking -- if your question is going to what's going to happen in the rest of the year because you did see that we were only up 2% industrial and 1.9% in the first quarter. What we will see in the rest of the year is food there's some folks who have program with us that they're going to need more power will see some increases, building and you know that fits pretty well with economics that we're seeing so more cement and alike. We're seeing a little more on the silicon side, so it's a little more high-tech that's coming in and the aluminum side of the industry. All of these industries have told us they need more and we'll be providing that and we’re already beginning to see that tick up just a little bit. So our forecast is pushing us to say it's going to be higher than 3% industrial growth but we don't -- you know us. We don't want to say that until we actually see that come to do.
Operator: There are no further questions in the queue at this time. I will turn the call back over to our presenters.
John Russell: Great. Thank you. Thank you for joining us today. We're off to a good start again this year and we look forward to working with you through the rest of the year and we will put this year's this first quarter's good weather to good use for our customers and our investors. So thanks for joining us I appreciate it.
Operator: This concludes today's conference. We thank you for your participation.